Operator: Good day ladies and gentlemen and welcome to the Bonanza Creek Energy Third Quarter Earnings and Operations Update. As a reminder, this conference is being recorded. I will now turn the call over to your host, James Edwards. You may begin.
James R. Edwards - Director, Investor Relations, Bonanza Creek Energy, Inc.: Thank you, Stephanie. Good morning, everyone, and welcome to Bonanza Creek's third quarter 2015 earnings conference call and webcast. Joining this morning on the call are Richard Carty, President and Chief Executive Officer; Bill Cassidy, our Chief Financial Officer; and Tony Buchanon, our Chief Operating Officer. Yesterday evening, we issued our earnings release and have filed our 10-Q with the SEC, both of which are accessible on our website. If you haven't done so already, I would encourage you to visit the website at www.bonanzacrk.com to access the slides that we will reference this morning during our prepared remarks. Please be aware that our remarks will include forward-looking statements that are subject to many risks and uncertainties that could cause actual results to differ materially. You should read our full disclosures as described in our 10-K and other SEC filings. Also, during this call, we will refer to certain non-GAAP financial measures because we believe they are good metrics to use in evaluating performance. Reconciliations of these measures to the most directly comparable GAAP measures are contained in our earnings release. As usual, we have endeavored to keep the prepared remarks short to leave ample time for Q&A during this 60 minute call. Once again, if you'd like to reference our IR slides, please find the updated deck at our website. Now it's my pleasure this morning to introduce Rich Carty, Bonanza Creek's President and Chief Executive Officer, who will start the call by providing a brief overview of the third quarter results and midstream transaction. Rich?
Richard J. Carty - President, Chief Executive Officer & Director: Thanks, James. For those of you who haven't yet met James, he recently joined us from SM Energy to run our Investor Relations effort and we welcome him to the Bonanza Creek team. Good morning, everyone, and thank you for making time to join our call today. We're pleased to announce a very good third quarter which is the combination of many months of efforts of the company with all the arrows headed in the right direction and meaningfully so. Bonanza Creek is demonstrating our sustainability and resilience with ongoing successes in our continuous improvement programs throughout the company. In operations, production execution was solid and above guidance and our dedication to increasing capital efficiencies, productivity yields and operating expense reductions showed real traction in Q3 with meaningful sequential reductions in cash operating costs and accelerating improvements in field-wide efficiencies, improved completion designs, commendable reductions in spud to rig release time and systematic decline in gathering system pressures each have contributed. Similarly, our balance sheet and liquidity have also materially improved with a very successful $475 million bank redetermination process in October complemented by the recently announced $255 million monetization of our Rocky Mountain Infrastructure business which represents over $5 per share in value realization. This RMI divestiture has the effect of both significantly increasing our liquidity and at the same time, reducing our capital intensity in 2016 and 2017 by minimizing infrastructure investment in field development. The RMI event represents an important third party validation of our shareholder value creation strategy as a company. Given that we have a very full Q3 report to discuss with you today, allow me to quickly set the stage and provide some key highlights about the quarter before I turn the call over to Bill and Tony to go into details. For the quarter, sales volumes were up 4% quarter-over-quarter to 29,000 BOE a day, ahead of expectations and an all-time company record. Adjusted EBITDAX of $73 million and adjusted net loss of $0.07 per share were also ahead of expectations. Total cash costs of $14 per BOE were down 16% quarter-over-quarter. Adjusted cash G&A was down 25% quarter-over-quarter. Capital costs incurred were down 46% quarter-over-quarter. Also, well tests with larger completions showed a 20% uplift in cumulative production rates. Standard reach lateral well costs were down 15% quarter-over-quarter, pro forma for the RMI closing. And our liquidity as of September 30 of $419 million which is expected to be further bolstered by the $175 million at the closing of the RMI transaction. I want to congratulate the team at Bonanza Creek for a job well done, both in driving efficiencies and continuing to adapt and make us a more competitive company in these challenging times. In Q1 and Q2 this year, we accelerated capital spending on our RMI business, and now in Q3, only two quarters later, we can see the value we've created for shareholders in so doing. This is a tremendous success for our team. After Bill and Tony finish their comments, I'll come back to discuss the proposed transaction for our RMI business. Bill, over to you.
William J. Cassidy - Chief Financial Officer & Executive Vice President: Thanks, Rich, and good morning, everyone. I will start my remarks on slide four. I'll start by saying we had a solid third quarter, with production volumes up and a significant sequential decrease in cash operating costs on a per-unit basis over the prior period. We reported company-wide sales volumes of 29,000 barrels of oil equivalent per day during the quarter, which is 5% greater than three-stream equivalent volumes of a year ago. Despite our volume growth, unhedged revenues declined from $156 million to $72 million for the same period. As Rich mentioned, the company generated $73 million in adjusted EBITDAX versus $110 million for the same period in 2014, representing a decline of 33% year-over-year despite a 60% decrease in realized prices during the same period. I would like to quickly go through our production guidance for the remainder of the year. As Tony will cover in a minute, we have seen a big improvement in rig efficiencies this year which has led us to be ahead of schedule in our spud count for the year. To stay within our budgeted activity count, we've elected to drop one of our operated rigs and currently have one rig running. Due to this operational change, some of our fourth quarter completions will be moved back further in the quarter, resulting in a slightly lower 4Q and full-year production guide. During the third quarter, we saw a significant decrease in capital costs incurred, which decreased our second quarter capital costs incurred of $164 million by $76 million to a third quarter capital cost incurred of just $88 million. Total company costs incurred for the nine months of the year are $375 million, putting us on track to meet our full-year guidance range of $420 million at the midpoint. Within the year-to-date caps incurred, $44 million is associated with assets that now reside in our Rocky Mountain Infrastructure subsidiary that is to be divested. The remainder of the year-to-date capital costs incurred are split as follows: $271 million for Rocky Mountain upstream, which is comprised of drilling and completion capital and well site equipment such as separators and meters; $44 million from Mid-Continent; $16 million for land; and $1 million for corporate and other. On basis differential, we see positive developments within the Wattenberg Field with oil differentials moving from $9.22 per barrel in Q2 to $8.98 per barrel in Q3. This is the lowest differential to WTI that we've seen since the third quarter of 2013. Spot market crude differentials continue to compress in the Rockies, and, when blended with our fixed differential on volumes that we ship on the Pony Express pipeline, our Q4 differential is likely to be less than $4 off WTI. On the gas side, we continue to see our realizations track closely to CIG pricing, while at these low prices, revenue deducts we have related to gathering or processing have a more pronounced impact. We would expect to see residue gas realizations that are 30% to 35% off Henry Hub for the fourth quarter. In the Mid-Continent, our differentials were generally in line with expectations overall. Relative to previous quarters, our realized oil prices ran a bit tighter to WTI, while our NGL differentials as a percentage of WTI reached their widest level this year. Moving now to production taxes. You probably noticed a lower than expected number in our production tax line item. This was the result of a refund from the State of Colorado which I believe that we mentioned was forthcoming on our last call. Going forward, I believe you should model 6% pre-derivative revenue on a corporate basis. Turning to G&A, we recorded unit cash G&A costs of $5.05 per BOE after adjusting for $1.2 million in severance costs related to a staff reorganization that occurred in late September. The reorganization was designed to better align our workforce with current activity levels and to eliminate contractors whose duties could be absorbed by full-time Bonanza Creek employees. As a result of this alignment, our employee base was reduced by approximately 15%. Given our year-to-date unit cash G&A of $5.74 per BOE, which excludes third quarter severance charges, we've elected to revise lower the top end of our annual unit cash G&A guidance from $6.25 to $6 per BOE. Before I turn the call to Tony, I would like to summarize the results of our fall borrowing base redetermination completed on October 19. We received unanimous support from our 10-member bank group for an approved borrowing base and committed capital of $475 million. We believe this borrowing base coupled with the anticipated proceeds from our RMI transaction gives the company ample flexibility to navigate the current macro environment and a range of contemplated activity levels in 2016. I'll now hand the call over to Tony to go through the operational update.
Anthony G. Buchanon - Chief Operating Officer & Executive Vice President: Thanks Bill, and good morning everyone. I want to start by reiterating the strong quarter we had. As Bill mentioned earlier, our total production was 29,000 BOE per day, beating our quarterly guidance. In the DJ, our daily production volumes grew by approximately 1,000 BOE per day, or 4% from second quarter, to 23,700 BOE per day. Solid operational execution along with significantly improved midstream performance helped drive this result. In our Mid-Continent region, production was 5,300 BOE per day, flat to second quarter but about 300 BOE per day above expectations as a good run of recompletions offset field decline. Field efficiencies across our operation are beginning to take deep root and are resulting in improved production and cost performance. Our operational staff has worked very hard this year to safely reduce costs where we can and enhance field performance. I'm happy to report that we have been successful on both ends of the equation, maintaining Bonanza Creek as a leading operator in the basin. With regard to some of the performance enhancements we have realized in the field, slide five shows test results we have on increased sand loading in wells that we drilled in the third quarter of last year on our eastern acreage. Typically, we have been using about 1,000 pounds of sand per lateral foot for our wells, but in this particular test, we completed the wells with 50% more sand or 1,500 pounds per lateral foot. As you can see in the slide, over the past 10 months, the wells have exhibited a significant increase in cumulative production over that timeframe when compared to similar wells fracked with typical sand loadings nearby. While we haven't estimated an EUR uplift for these test wells, we have noted that the well payback periods have been cut in half just from the accelerated production the wells exhibit, assuming no EUR uplift. Reducing payback periods is critical to maintaining the strength of our balance sheet in times of depressed commodity price. So as we look to 2016, our program, we contemplate a large portion of it to include these larger fracs. Moving on to slide six. We highlight some of the effects we have seen from improved infrastructure. In the Wattenberg, we faced fewer unplanned instances of midstream downtime due to additional infrastructure that was commissioned toward the end of the second quarter, eliminating many of the infrastructure bottlenecks we had experienced in the past. As you can see on this slide, the measured volatility in production profile was reduced by approximately 50%, as these additional gas takeaway routes came online. Lower volatility of course begets greater forward visibility and lower inherent risk in our production profiles. Next, I will go through some of the cost saving measures we have realized. With regard to LOE, our performance for the quarter was better than planned by $1.6 million. Roughly two-thirds of the variance was captured by Mid-Continent as the benefits of our gas plant optimization were realized for the entire quarter. In addition, our supply chain organization has been hard at work with a main focus on further improving the efficiencies we have realized across a number of LOE categories such as compression, chemicals, water disposal and contract labor. These initiatives have resulted in a year-to-date LOE in the lower end of our guidance at $7.85 per BOE. We have elected to bring down the midpoint of our annual unit LOE guidance range to a midpoint of $7.87. Moving on to capital investment. We have made significant strides in completed well costs this year. On slide seven, the waterfall graph shows the downward trajectories related to well costs we have realized so far this year, as well as additional savings we expect to realize over the next few quarters. I think it is important to note that the remainder of the expected future well cost savings are independent of service cost deflation. SRL wells in the third quarter were drilled, completed and tied into sales for $3.3 million to $3.4 million, while XRL well costs dropped to approximately $5.1 million. Given the comments we hear from neighboring operators and non-operated AFEs that are proposed to us, we believe we continue to be very competitive, if not slightly ahead of the curve, in drilling our operated wells for the lowest cost possible. A point I want to emphasize is that achieving our target well costs will return us back to early 2014 payback levels, even in this price environment. All lines of service continue to see downward pressure on costs, but our rig fleet in 2015 has really shined in terms of the ability to execute our schedules well ahead of plan. Moving on to slide eight, you can see our drill times from the beginning of the year have dropped by 25% for SRLs and an impressive 40% for XRLs. Due to this decrease in spud to rig release times, we were able to get ahead of schedule on our spud count for 2015. As we are not inclined to increase activity this year given the pricing environment, we made the decision to release one of our rigs and remain on target to spud the same number of wells as budgeted, but now, with a lower rig count. With that, I will turn the call back over to Rich to talk through the RMI transaction.
Richard J. Carty - President, Chief Executive Officer & Director: Thank you, Tony. As most of you know, we have long held the belief that our contiguous leasehold, which span approximately 70,000 net acres in the heart of the Wattenberg oil window, represented a unique opportunity for a multi-faceted midstream build out that would help us facilitate a pad-style industrial scale development of our captured resource. Bonanza Creek began this infrastructure build out with the construction of field-level gas-gathering and compression facilities on our legacy western acreage in 2014. We also built out our first central production facility, CPF, in 2014, that centralized liquids handling and gas lift infrastructure for 15 original wells located on our Super-Section. Today, that same facility is the facility's destination hub for 40 wells. Our build-out continued this year as we completed field-level gas-gathering and compression for our eastern legacy acreage. And as of today, we have a total of four CPFs in operation. Our purpose in doing this work was simple – provide optimal service conditions for our reservoirs to produce while reducing our footprint on the service via fewer physical facilities and reduced, if not wholly eliminated, liquids-hauling by truck in the field. We were successful in building the formative components of the infrastructure backbone that will service our upstream assets for years to come. Today, we are excited to announce that we have signed a purchase agreement with Meritage Midstream to sell our RMI business. On slide nine, we have listed the main terms of the transaction which has a purchase price of up to $255 million. Of the $255 million, $175 million is payable upon closing, which is expected by the end of the year, and the remainder consists of deferred payments predicated on reaching drilling and completion milestones. We expect that this monetization and its associated proceeds will allow us to enter 2016 with an undrawn credit facility and projected liquidity of almost $600 million. In addition, this transaction helps to add clarity on what you can assume for a minimum level of activity in 2016 and 2017, given the drilling incentive fees that would be payable to Bonanza Creek provided that we need those threshold activity levels. Importantly, we believe that the proceeds resulting from this transaction will allow the company to stay undrawn on its credit facility into 2017. While the financial impacts of this transaction action are transformative and deserve significant attention, we are equally as excited about our new partnership with the team at Meritage. Our respective companies identified each other 15 months ago as potential partners, as we contemplated different paths in accelerating and optimizing our infrastructure needs. We have developed the utmost confidence in the Meritage team and the Riverstone private equity group, their demonstrated abilities to construct and operate facilities for gas, oil and water, their approach to customer service and their ambition for future asset build-out in the DJ Basin. Thank you again for spending part of your morning with us. We are pleased with the progress that our entire enterprise has made during the third quarter, relative to not just our own expectations, but those of the analyst community as well. The anticipated sale of RMI is a culmination of efforts made by many in positioning the company to attract such a highly qualified acquirer and future midstream partner. With that, let's hand the call back to the operator for Q&A.
Operator: Thank you. Our first question comes from Irene Haas with Wunderlich. Your line is open.
Irene Oiyin Haas - Wunderlich Securities, Inc.: Yeah. Hey, congratulations on this asset sale and my question is do you have any other assets in your back pocket that you might think about divesting or this is good for the time being?
William J. Cassidy - Chief Financial Officer & Executive Vice President: Hey, Irene. It's Bill here, and as you may have seen with our Mid-Continent assets as assets held for sale. We received some bids over, or some interest over the quarter; felt due to FASB rules we needed to move them into the held-for-sale. We've engaged someone to take a look at that and we'll see how that progresses, but clearly we're not in any hurry to move forward with anything unless we have a really attractive deal. So, I think that would be one of the other things that we would talk about as we go through. Comments day in day out, generally 99% of them are regarding the Wattenberg field and not a lot of focus is put on a really high quality Mid-Continent asset. So, I think that would be the one that we would say is another lever we could pull from a liquidity perspective if need be in the future.
Irene Oiyin Haas - Wunderlich Securities, Inc.: That's great. Thank you.
Operator: Our next question comes from Phillips Johnston with Capital One. Your line is open.
Phillips Johnston - Capital One Securities, Inc.: Yeah. Hi. Thanks and congrats. Just to sort of follow-up on Irene's question. In the past, I think you've talked about the possibility of pursuing a joint venture on your northern acreage to potentially bring cash in the door and help de-risk that acreage. Does the RMI sale now change your thoughts or your appetite for a deal like that?
Richard J. Carty - President, Chief Executive Officer & Director: Good morning, Phillips. Thanks for being with us today. I don't believe we've ever made any comments actually in the public domain about JV-ing any of our acreage. Of course, it's always something we could consider down the road but we've never conveyed that or represented that as a likely path forward. So, I wouldn't steer you that way.
Phillips Johnston - Capital One Securities, Inc.: Okay. And just regarding your plans in the north, what's contemplated now that you've got cash in the door? I guess, in the past, you've talked about drilling an eight-well pad on the north at some point next year. I think that was dependent on what happened with RMI, but I just kind of wanted to get an update on that.
Anthony G. Buchanon - Chief Operating Officer & Executive Vice President: Hey there, Phillips. This is Tony. Yeah. Hey, that actually really does help us out, the RMI agreement and with Meritage now stepping in. The key limiting factor to us was actually having a central production facility in that area for us to hub off of, if you will. So our plans, 2016, again, we haven't officially come through with our budget yet, but that has really enhanced the opportunity for us to go out there. They'll build us a CPF on the northern acreage and we are planning to drill that seven to eight-well extended-reach lateral pad next to that CPF. So, that will definitely enable us to move that way and we're excited by doing it.
Phillips Johnston - Capital One Securities, Inc.: Great. Thanks, guys.
Operator: Our next question comes from Neal Dingmann with SunTrust. Your line is open.
Neal D. Dingmann - SunTrust Robinson Humphrey, Inc.: Good morning, guys. Say, Rich, it looks like on the completion optimization, you all continue to have success. I mean, you really highlight about the sand enhancements. Just your thoughts about going to more plug-and-perfs, doing more just extended laterals. Is that across the board? Is this just something that will become more commonplace in most of these wells going forward? As you mentioned, the sand enhancements would be in the majority.
Richard J. Carty - President, Chief Executive Officer & Director: Good morning, Neal. Yeah, listen, we're pretty confident that we're in very early stages in this field for increasing productivity and having this reservoir continue to improve on a regular basis. I'll pass over the questions on the specific designs for next year to Tony, but clearly very small investments in capital are providing very large increases in productivity, which is the number one contribution variable to increasing the asset value over time. Tony, do you want to speak specifically about that?
Anthony G. Buchanon - Chief Operating Officer & Executive Vice President: Yeah. You bet. Again, in this lower price environment, return of capital and well payback times is really paramount to us. And so, the increased sand volumes and the result we've gotten from the 1,500 pounds per lateral foot has demonstrated that that can provide that for us. So you'll see us using that in a majority of our program in 2016. As for plug-and-perf, we've talked about – we have a three-well extended-reach lateral pad plug-and-perf that is currently producing on flow back right now. We are looking at the results of those wells, comparing those to five wells were extended reach laterals that were completed with our standard sliding sleeve technique in the same section to minimize the geological variabilities and really, truly the compare of the plug-and-perf and sliding sleeve techniques. So, we're looking at that. Obviously, if we see plug-and-perf continuing to provide or providing benefit for us, we would consider that if the economics make sense. As you know, plug-and-perf's cost a little bit more than the sliding sleeves. Our sliding sleeve wells are coming in between $5 million and $5.1 million today and our plug-and-perf wells were about $5.7 million. So there is a cost factor to that. So we'll keep that in consideration but we are looking at all that for 2016.
Neal D. Dingmann - SunTrust Robinson Humphrey, Inc.: Okay. And then just my follow-up, Richard. Just as far as when you look at the plan and budget for next year, again, how sensitive to obviously the commodity is continuing to be quite volatile, is it – would you let that rig go, would you add a second rig – how just tied into commodity price or is it more just about sort of what you want to achieve on the plan? And then, I guess, my follow-up on that is including going a little bit further north and maybe doing a bit more exploration up there?
Richard J. Carty - President, Chief Executive Officer & Director: Neal, we haven't completed our 2016 budget yet, but I think you can rest assured by today's number that we run a very low cash cost business, a highly efficient asset; we have a very competitive organization. And so, we're in a good position to weather the storm and we've been demonstrating our resilience and sustainability as an organization in this environment. So, we want – our objectives aren't around increasing production – and we'll be very clear about that. Our objectives these days are around creating value for stockholders and we hope that today's demonstration with RMI is a case in point. For activity levels next year, the RMI transaction does encourage us to produce 56 wells – drill 56 standard reach wells – so that would be kind of a lower threshold for us. And then the upper threshold will be determined around the economics of accelerating activity. So, you can think of it that way, but we really lowered substantially the amount of maintenance CapEx in this business by the RMI transaction. With 2016 and 2017 there are significant well level incentives for drilling and our balance sheet has been really substantiated in the past 60 days or so. So, we're in a really good position to accelerate when the time provides and otherwise continue to build stockholders in a down environment otherwise.
Neal D. Dingmann - SunTrust Robinson Humphrey, Inc.: No I agree with you, your flexibility's obviously much better and continues to improve. Would that enable you to maybe try to go up north a little bit and start to delineate that a little bit more or is that just, as you mentioned, you're waiting on the plan to decide how do you want to tackle that in addition to the core?
Richard J. Carty - President, Chief Executive Officer & Director: Right now, we're highly confident that we have a large number of locations for many, many, many years. We'll be developing this field for probably longer than I'll be in this business. But ultimately, our focus is on capital productivity. And so we're going to drill wells that are the highest marginal impact to our stockholders for recycle rates on cash, paybacks on cash. And those are not likely to be ones that require huge amount of risk or infrastructure association with developing those. That wouldn't be included in the RMI transaction. So we're staying close to home. We're going to do highly predictable work on the operations side. We'll continue to push wellbore productivities up and continue to try to lock in capital costs that have been declining to where they are today.
Anthony G. Buchanon - Chief Operating Officer & Executive Vice President: Hey, Neal. It's Tony here. I'd like to just comment on the northern acreage again. We have several wells up there already giving us confidence in the northern acreage. And so, we have a lot of running room on the northern acreage right now with what we have, without having to do a lot of further delineation. So, those pads and things that we're targeting for 2016, we feel very confident in where we're drilling and we have running room up there. So, I just wanted to make sure that I was clear on that.
Neal D. Dingmann - SunTrust Robinson Humphrey, Inc.: No, that's a great add. Thanks, Tony, and thanks for the comments, Rich.
Operator: Our next question comes from Welles Fitzpatrick with Johnson Rice. Your line is open.
Welles W. Fitzpatrick - Johnson Rice & Co. LLC: Hey. Good morning and congrats on what looks to be a great transaction. Is there any prescribed location for the 112 SRLs over the next two years?
Anthony G. Buchanon - Chief Operating Officer & Executive Vice President: Yeah. Well, the 112 wells will be targeted around the four existing central processing facilities that we have, the four CPFs that are located right now on our legacy position. And the two new CPFs that will be constructed by Meritage, one on the northern acreage, as we talked about, that will be the hub for our extended reach laterals and one additional on the southern legacy position. And again, these 56 wells are standard reach lateral equivalents – I want to be clear on that – so we can mix in extended reach laterals and all of those kinds of things. So it doesn't limit us at all on our well selection. So again, we'll be targeting those wells around those four existing CPFs and the two new ones.
Welles W. Fitzpatrick - Johnson Rice & Co. LLC: Okay. Perfect. And the equivalency, that's calculated to some simple lateral ratio, I'd guess?
Anthony G. Buchanon - Chief Operating Officer & Executive Vice President: Yeah. Typically, Welles, which you can look at, is an extended reach lateral will count as two, a medium reach lateral will count as 1.5 and a standard reach lateral will count as 1.
Welles W. Fitzpatrick - Johnson Rice & Co. LLC: Okay. Perfect. And then any update on the monobores that you all have done? Does the $2.4 million in 2016 or the stretch goal a little bit lower than that, does that include that new technique?
Anthony G. Buchanon - Chief Operating Officer & Executive Vice President: If you look at us, we're at the $3.1 million or $3 million for a standard reach lateral. When you factor in the incentive that we will receive, that takes you down to the $2.4 million, $2.5 million range for our standard reach lateral equivalent wells. The monobore would then take you further down than that to that $2.1 million to $2.2 million range. The monobore and then adjusting our fracs with a little bit more slickwater, we still do the hybrid fracs but going with a much more slickwater portion in that hybrid frac. So the monobore is where we are. We've done one internally already, but we feel our confidence level is very high to proceed into 2016 and do more monobores. We're looking at that right now, but wouldn't be surprised if our initial wells going into 2016 would use the monobore technique right out of the gate.
Welles W. Fitzpatrick - Johnson Rice & Co. LLC: That's great. Thank you.
Operator: Our next question comes from Ipsit Mohanty with GMP. Your line is open.
Ipsit Mohanty - GMP Securities LLC: Yeah. Good morning, guys, and congrats on getting the deal done. Did I hear you right, the $20 million deferred payment is based on 56 wells irrespective of the lateral length?
William J. Cassidy - Chief Financial Officer & Executive Vice President: Hey, Ipsit. It's Bill. The $20 million is in two installments. So, you should look at, as Tony said, it's standard reach lateral equivalent. So if we have an extended reach lateral, that would count as two standard reach laterals.
Ipsit Mohanty - GMP Securities LLC: Okay.
William J. Cassidy - Chief Financial Officer & Executive Vice President: So, that $20 million is in two installments. One would be on the completion of 40 wells. That payment will be made at the end of the year 2016 and the second payment will be made on achieving 56 wells drilled. Again, that payment should be made, given 56 is kind of a base level, it should be made by the end of 2016 as well to reach the full $20 million.
Ipsit Mohanty - GMP Securities LLC: Sure. And given that you decided to drop the rig probably after this deal, it kind of tells me that that those 56 wells should be your primary target or primary goal for 2016 on a one-rig program?
William J. Cassidy - Chief Financial Officer & Executive Vice President: That's correct. I think that's a correct assumption.
Ipsit Mohanty - GMP Securities LLC: Okay.
William J. Cassidy - Chief Financial Officer & Executive Vice President: And just on the dropping the rig, I think we've been very consistent throughout the year that we had an activity-based budget, and given Tony and the team on the operations side and their ability to get these wells drilled in a lower timeframe, we effectively dropped the second rig because we just got ahead of ourselves on the drilling side.
Ipsit Mohanty - GMP Securities LLC: So that doesn't necessarily translate into – I know you haven't given us 2016 and it's too early – but I'm curious, what does it take for you now that you've got, you're flush with liquidity, your balance sheet, your debt ratios have drawn back. What does it take to add a rig in 2016, back to two?
William J. Cassidy - Chief Financial Officer & Executive Vice President: Look, I think it gets to some of Rich's comments earlier. It's the commodity price environment. It's retaining a strong balance sheet and obviously, with an eye to what we're doing on the RMI side to make sure we achieve that 56. You could see that as kind of the lower boundary, and I think one rig active for the full year should drill at least 56 wells, and we will then look to where the market is, look to where the environment is as to whether we would add another rig. But I think we've been very consistent on balance sheet. We realize we have a very strong asset; we have a lot of wells to drill. However, if we don't have a strong balance sheet, we're never going to get to these wells. So, we're going to be consistently looking at the balance sheet into 2016 and beyond.
Ipsit Mohanty - GMP Securities LLC: Okay. And my last, I think, quite a few have been already touched, but when I look at that reduction from $2.4 million to $2.1 million, and especially on the completion side, are you depending much on even third-party – are you depending on third-party even more or are these sort of more organic enhancements?
Anthony G. Buchanon - Chief Operating Officer & Executive Vice President: Ipsit, those are going to be organic enhancements. Again, the $2.4 million to the $2.1 million comes in two pieces. The drilling side is going to the monobore drilling, which eliminates the intermediate string of casing, that's kind of the biggest piece of the savings there. So, that's obviously organic. And then, the other piece is on the frac design. We use a hybrid design, which is a slickwater upfront pailed in with gel fluids system to carry the sand concentrations that we need, enhancing that design, really increasing the portion of slick water in that design and decreasing the portion of the gel system in that design. So that's probably, if anything is more – I don't want to call it a wildcard – but that's the one we haven't done yet. The monobore we have and that's been demonstrated. Obviously, other folks in the basin are having really some successes we're hearing, obviously just going with total slickwater. So, we feel pretty good about increasing the slickwater content and reducing the gel system side of the frac, but we haven't done that one yet. So, that little piece on slide seven if you look at, would probably be the one that we just need to work on that. What we don't want to do is jeopardize the EURs of the wells. So that $2.4 million down to $2.1 million, I think the monobore is pretty solid and then you've got that other piece we need to work on.
Ipsit Mohanty - GMP Securities LLC: Okay. Tony, no issues in translating that upsize frac job from an SRL to an XRL?
Anthony G. Buchanon - Chief Operating Officer & Executive Vice President: I'm sorry, Ipsit. Could you repeat that question, please?
Ipsit Mohanty - GMP Securities LLC: I mean, do you have any issues in translating that upsized frac jobs from an SRL to an XRL, standard to extended?
Anthony G. Buchanon - Chief Operating Officer & Executive Vice President: No. Absolutely not, Ipsit. You can go with the 1,500 pounds per lateral foot in an XRL with no problem. So it is easily translatable.
Ipsit Mohanty - GMP Securities LLC: Thank you, guys. Good show.
Anthony G. Buchanon - Chief Operating Officer & Executive Vice President: Thanks.
Operator: Our next question comes from Ryan Oatman with Cowen. Your line is open.
Ryan Oatman - Cowen & Co. LLC: Hi. Good morning and thank you for taking the questions here. I think you guys have been fairly consistent about what is a good level for us to think about in terms of at least the minimum for capital spending next year. When I think about that program, I wanted to see, given the efficiency gains that you guys are talking about and the costs that have shifted to RMI, I wanted to see what a good production outlook was for us. Is that sort of a mid-single digit decline, just any sort of color you can provide there?
Richard J. Carty - President, Chief Executive Officer & Director: Hey, Ryan. Good to hear from you. At this point, we haven't substantiated and finished our budget planning for 2016. So, we're not really prepared to talk about where production would land in 2016 after we determine what activity levels we'd elect to commit to. So that's probably a discussion for a month ahead at this point.
William J. Cassidy - Chief Financial Officer & Executive Vice President: Hey, Ryan. It's Bill. Just to also add, obviously, we have the 56s and are to gain all the RMI – on the RMI transaction. We've also spoken about 80 wells, standard reach laterals equivalent – to keep flat. So that kind of provides you with bookends. If you say, okay, you're flat – we are flat right throughout 2015. If we want to be flat again for 2016, that would be – given the decline change from last year to the year ahead, it would be 80 reach – 80 standard reach equivalents. So you could kind of think of that, but again, we haven't come up with any guidance. We're still working on that and there will – we'll take that to the board – and get approvals as we move forward.
Ryan Oatman - Cowen & Co. LLC: That's helpful. Thanks for those bookends there. And then, I just wanted to make sure I understood your prepared remarks on differentials. Looking at 3Q, I have corporate oil differentials at about $8. What's a good number for us to think about for 4Q and into 2016?
William J. Cassidy - Chief Financial Officer & Executive Vice President: I think we generally guide to the quarter ahead where we see in the Wattenberg. I think $9 is a pretty good one, kind of low $9s, maybe a smidgen below it. Going into 2016, clearly we have our Pony Express commitment that's what we need to make. But we have seen a lot of availability and other means to take oil out of the basin and, hence, the reason we got below that $9 level this year. So we're seeing those – or this quarter – we're seeing those numbers come down, so I would hope the trajectory continues to go lower, but we'll really just guide for $9 for the quarter ahead.
Ryan Oatman - Cowen & Co. LLC: Great. That's helpful. Similar sort of question on cash G&A. It does look like – dipped pretty significantly – we've seen that low in 1Q, higher in 2Q, lower in 3Q. What's sort of a good number for us to think about for 4Q and on into 2016 here?
William J. Cassidy - Chief Financial Officer & Executive Vice President: Again, I think it's to look at the guidance range. I think we just brought the top of the range lower. We were at $5.75 to $6.25. So, we're going to have that top of the range now at $6.00. So, I think $5.75 to $6.00 per BOE is a good range on a BOE level. So, obviously, we continue – given the environment, we have – continue to move that as low as possible. But I think tightening the range was appropriate given where we're headed into the last quarter.
Ryan Oatman - Cowen & Co. LLC: Got you. I mean, just a follow-up on an earlier comment, just want to clarify. The 80 SRL equivalent wells, that's a book in for 2016 or that's in reference to 2015? And that's it for me. Thanks.
William J. Cassidy - Chief Financial Officer & Executive Vice President: It's really – folks asked us earlier probably last quarter – what would it take to keep the production flat for 2016? And based on our internal work, it looks like 80 would keep it flat. Last year, it was 96 SRLs to keep it flat. This year, into 2016, it will be 80, and that's reflective of the reduction and the decline and the maturing of our well base.
Ryan Oatman - Cowen & Co. LLC: Thank you.
Richard J. Carty - President, Chief Executive Officer & Director: Sure.
Operator: Our next question comes from Michael Hall with Heikkinen. Your line is open.
Michael A. Hall - Heikkinen Energy Advisors: Yeah. Congratulations, and good morning. I'm just curious, what would you put the payback on the strip on a SRL well that currently inclusive of the RMI drilling incentive?
Richard J. Carty - President, Chief Executive Officer & Director: The payback on the wells with the RMI incentive in place, pro forma 2016?
Michael A. Hall - Heikkinen Energy Advisors: Yes.
Richard J. Carty - President, Chief Executive Officer & Director: We think the SRL wells will be between three and four years payback.
Michael A. Hall - Heikkinen Energy Advisors: Okay. Great. And then on that transaction, I mean, you highlighted that Meritage is committed to building out two more CPFs. Are there any other, I guess, commitments that are structured into the transaction to ensure Bonanza Creek gets full service on the assets; just curious what else has been discussed on that too?
William J. Cassidy - Chief Financial Officer & Executive Vice President: Hi, Michael. It's Bill. Clearly doing a transaction like this, you always have one eye, is on the fact that your partner is going to be there every time you drill the well and we've certainly got commitments from Meritage. I think the other thing is line pressures. As we all know, we've spoken ad nauseum over the last two years about line pressure issues that we've had in the basin. And I think Tony spoke earlier about some really good line pressure that we've seen, especially with the Windmill line coming in. But we want to make sure as we move forward with a partner that we don't have any of these line pressure issues going forward. So, that's being worked into the contact or be worked into the contract going forward. So, it's clear in doing a midstream deal, we want to make sure that it doesn't affect our production. Meritage has done a really good job up in the Powder River Basin for a bunch of very large operators. They've got some work up in Canada as well that they're doing. So, we feel very confident that they can deliver for Bonanza Creek. We've spent a lot of time with them for the last 15 months or so.
Michael A. Hall - Heikkinen Energy Advisors: Okay, great. That's helpful color. And then, just curious, what sort of maintenance level or minimum level of capital spend do you think the Mid-Continent requires going forward?
Anthony G. Buchanon - Chief Operating Officer & Executive Vice President: Yeah. For Mid-Continent, to keep production flat, it'd be about $30 million to kind of keep that production flat where it is.
Michael A. Hall - Heikkinen Energy Advisors: Okay. That's all I have. Thank you.
Operator: Our next question comes from Steve Berman with Canaccord Genuity. Your line is open.
Stephen F. Berman - Canaccord Genuity, Inc.: Guys, good morning. Most of my questions have been asked. Just one, does the RMI transaction have any impact on your borrowing base?
Richard J. Carty - President, Chief Executive Officer & Director: It has no impact on the borrowing base, no.
Stephen F. Berman - Canaccord Genuity, Inc.: Okay. That was easy. Thank you very much.
Operator: Our next question comes from Paul Grigel with Macquarie. Your line is open.
Paul Grigel - Macquarie Capital (USA), Inc.: Hi. Good morning. There's been a lot more focus on payback periods here rather than IRRs that had been traditionally talked about. Is that just a near-term change given the pricing environment or something that can last a little bit longer as you guys look throughout the cycles?
Richard J. Carty - President, Chief Executive Officer & Director: I think that it's the reality of the price environment, Paul, that ultimately, arithmetically when you look at paybacks, you're getting your cash flow back sooner. And so, the sooner we can get cash back on investment of capital, the better off we're going to be in this kind of environment. Whereas in IRR, effectively, obviously measures of returns over longer periods of time; so I think you'll likely see operators throughout the industry focus more on payback in this kind of prolonged price environment.
Paul Grigel - Macquarie Capital (USA), Inc.: Okay. Great. And then, I'm just following up on Michael's question on the commitments on the RMI deal. Is there anything from the Bonanza Creek side other than obviously to receive the payments here, longer term that needs to be addressed or that's in there?
William J. Cassidy - Chief Financial Officer & Executive Vice President: Sorry. Can you repeat the question? I didn't catch that. Sorry, Paul.
Paul Grigel - Macquarie Capital (USA), Inc.: I guess in terms of longer term commitments beyond the near term, two years to get the incentives from Bonanza Creek's side, in terms of minimum volumes or anything else that is part of the RMI contract?
William J. Cassidy - Chief Financial Officer & Executive Vice President: We don't have any minimum volume commitments. I think, we've detailed what we have over the next two years to – our commitment to the guys at Meritage, et cetera – so we don't have any other volume commitments beyond there.
Paul Grigel - Macquarie Capital (USA), Inc.: Okay. And then turning a little bit more on the corporate level, do you guys have debt targets or anything in this environment, realizing EBITDA still moves around quite a bit with Mid-Con potential being for sale on where you want to ultimately have the balance sheet at or a target that you're balancing towards?
Richard J. Carty - President, Chief Executive Officer & Director: Yeah. Ultimately, we're lucky in that our balance sheet doesn't have any maturities before 2021. So there is debt leverage but we also complement that with a lot of liquidity, Paul. So right now, that $800 million in debt has $500 million maturity in 2021 and a $300 million maturity in 2023. And we have almost $600 million in near term liquidity in 2016, pro forma this transaction closing. We're in a very good position to see through this down side of the cycle. That's really our balance sheet strategy for now.
Paul Grigel - Macquarie Capital (USA), Inc.: Okay. So there's no specific either debt-to-EBITDA or other ratios that you guys would target and use as a lever both on capital spending and asset sales?
William J. Cassidy - Chief Financial Officer & Executive Vice President: No. I think we're pretty set, as Rich said. Again, the focus will always be on the balance sheet and how we balance that with the operational rhythm going forward. I just want to address something that we got a comment on earlier, just on the effect on the borrowing base for RMI. It'll have a minor effect, probably about 5% effect on total of the company on proved reserves. So we're in discussions at a later stage, of course, in the next quarter and next year with our borrowing base banks, but it's not significant overall given the size of the reserve adjustment as a result of the RMI transaction. Just want to get that out there.
Paul Grigel - Macquarie Capital (USA), Inc.: No, that's good to know. And then, one last one for me. Just can you guys provide an update on your latest thoughts on the corporate decline rate as you head into 2016?
William J. Cassidy - Chief Financial Officer & Executive Vice President: No, I guess the corporate decline rate year in year out for 2015 is per our 10-K, which is 45%, but we haven't given any update on what it looked like. Clearly, when you're drilling less wells and you got more mature wells in your overall base, that corporate decline rate should tend to be lower. We'll come out with that in the next quarter conference call. We'll see how that works.
Paul Grigel - Macquarie Capital (USA), Inc.: So, thanks for the time.
Operator: Our next question comes from John Herrlin with Société Générale. Your line is open.
John P. Herrlin - SG Americas Securities LLC: Yes. Hi. Most of these have been asked. I was just curious with the RMI deal, how long did it take to reach fruition and did you talk to other vendors? Did you initially go into it structuring it so you'd have incented drilling or were you just trying to do an outright sale or could you elaborate a little more?
William J. Cassidy - Chief Financial Officer & Executive Vice President: John, this is Bill Cassidy here. We started this process really at the middle of last year as we looked out to the full field development. We saw that given well costs at the time and the number of wells in the reserve base that we were going to try and develop, you were looking at $6 billion to $7 billion of development capital over a 10, 20 year period. If you take 10% of that in the capital side, for infrastructure, you'd look at $600 million to $700 million. It was clear we had spent a bunch of money up in the Pronghorn and 70 Ranch area. We were looking at all the CPFs we were going to put in place, and given the valuations on the midstream side and the amount of money we would have to spend over the next number of years, it was clear that categorizing that into a different entity was important. When we started the process, as we've said, we'd been talking with Meritage for about 15 months. They were very early in the process. We probably spoke over time to about 40 different midstream operators. We narrowed it down to about six I think after our second quarter conference call, when we discussed that we were going to look at various options on that entity. So, we got six bids in and Meritage came to the top along with one other interested party. So, it was a very long, arduous process, very detailed. There was a lot of people involved internally and I think we got to the right result. Regarding structure, initially we had looked at potentially joint venture structure but really if you're going to be in the midstream business, you need to have control on your midstream asset. And I think we've put in place the structures to work with Meritage to effectively give us comfort that we can run our E&P business effectively going forward. And the capital provided by Meritage, as well as some of the incentives we have over the next couple of years, we felt was the best thing to do for shareholders at this stage. Hopefully that.
John P. Herrlin - SG Americas Securities LLC: Thank you.
Operator: Our next question comes from Mike Kelly with Seaport Global. Your line is open.
Mike Kelly - Seaport Global Securities LLC: Hey, guys. Good morning. Congrats on the deal. Question on the RKI (sic) [RMI] deal. Just really want to understand what you guys are on the hook for here. You've talked about obviously the drilling commitments. But in terms of the cost and the expectation for LOEs to go up $2 to $2.25, is that on just the Wattenberg volumes or is that on the company volume as a whole? And then moving forward, just curious on how that is structured, how we could expect that kind of range to trend. And if there is kind of a split between fixed and variable cost components to this. Just a little bit more kind of details on how that's structured. Thanks.
William J. Cassidy - Chief Financial Officer & Executive Vice President: Hey, Mike. It's Bill. As we would have built out our own midstream business internally, we would have had that LOE tend to trend up as we drill the wells and put them into the midstream business. So we're effectively characterizing that now over to the RMI entity and over to Meritage. So it'll be about $2 to $2.25 per BOE going forward. I think if you look at that and the production volumes over the next number of years and you look at the cash that we're getting up front, I think you'd characterize it as a very attractive deal overall to the company at this stage of our genesis. So we feel pretty confident in that. There's no other real variables involved here. Obviously, we have oil and gas and gas lift and water arrangements, et cetera, but they'll all be revealed in the document that we will file probably next week, that we signed with the team at Meritage. So you'll get all the detail behind each of those, fee levels, et cetera.
Mike Kelly - Seaport Global Securities LLC: Perfect. Thanks, guys. Congrats again.
William J. Cassidy - Chief Financial Officer & Executive Vice President: Sure thing.
Richard J. Carty - President, Chief Executive Officer & Director: Thanks, Mike.
Operator: Our next question comes from Ravi Kamath with Seaport Group. Your line is open.
Ravindranath Sreenivas Kamath - Seaport Global Securities LLC: Yeah. Hey, guys. A couple of questions. One on the RMI deal, I guess, I'm going to try it another way. The $2, if you apply it to your 29,000 BOE per day, turns out to be about $21 million. So it looks like it might be you're selling it for 11 times EBITDA. Is that the correct math?
William J. Cassidy - Chief Financial Officer & Executive Vice President: No. I think you need to adjust that and probably adjust it down. Let me see. I'm not sure I want to go through a whole math problem on the phone. So maybe we should get on the phone off line, and we'll go through it in a bit more detail.
Ravindranath Sreenivas Kamath - Seaport Global Securities LLC: Sure. Sure. And then secondly, I guess, given the SandRidge-EE3 deal that was announced, I'm just wondering – I know you have some acreage in the North Park Basin. Can you give us an update as to what's going on there, and any plans over there?
William J. Cassidy - Chief Financial Officer & Executive Vice President: I think if you look at our North Park acreage, we actually wrote down that acreage in the second quarter. It's – I'm not sure exactly how close it is to the EE3 acreage. But we've looked on – at that transaction – looks very good for the seller. We'll see how SandRidge got on. It's not really our case to look at that. We obviously did see that transaction as it went through, but hopefully everything works out well. So, not a whole lot to comment on for that one.
Ravindranath Sreenivas Kamath - Seaport Global Securities LLC: Okay. Great. Thanks, guys.
Operator: Your next question comes from David Deckelbaum with KeyBanc. Your line is open.
David A. Deckelbaum - KeyBanc Capital Markets, Inc.: Hi, Bill, Tony and Rich. Thanks for taking my call. Sorry to get one in late here. I did want to ask, the structure of the RMI deal, are you able to receive that second tranche of bonus payments in 2016 as well, or is it restricted to 2017 drilling?
Richard J. Carty - President, Chief Executive Officer & Director: The sooner we develop the wells, the better for everybody. So the sooner we develop, the more – the quicker we get those bonus payments, David. It's Rich.
David A. Deckelbaum - KeyBanc Capital Markets, Inc.: Okay. So, you could realize a full $80 million bonus payment in 2016 if you chose to go as quickly.
Richard J. Carty - President, Chief Executive Officer & Director: That's correct. Absolutely.
Anthony G. Buchanon - Chief Operating Officer & Executive Vice President: Correct. If we drill 112 now. All $60 million.
William J. Cassidy - Chief Financial Officer & Executive Vice President: It'd be the $60 million of bonus payments that we have per well. But we have the two $20 million tranches which clearly, if we drill the 112 standard-reach lateral equivalents in 2016, we would have reached the 40 minimum for the first $10 million, and then the 56 to gain the second $10 million payment would have reached it then as well. So you would be able to reach that by the end of 2016.
David A. Deckelbaum - KeyBanc Capital Markets, Inc.: Got it. And then I know in the past – I know that you guys are still working on the 2016 program. But in terms of mix of XRL versus standard reach, I think the last time you talked, it was 50% or so. It seems like this deal with RMI would incentivize you to drill as many extended laterals as possible. Is that the bias right now or can you move that 50% mix higher?
Anthony G. Buchanon - Chief Operating Officer & Executive Vice President: Hey, David. Tony. Yeah, our program, we're going to try to drill as many extended-reach laterals in our program as possible. Probably, again, the only limiting factor that we have is when we drill on the western side of our legacy position as we've talked about before where we have 4,000 foot laterals already started. That may force us to drill some 4,000-foot standard reach laterals in our program. I think that 50% number is still probably pretty accurate for what we've been looking for 2016. But again, our emphasis is to drill as many XRLs as we can. But we do have to tie in to those CPFs, and so, some of those CPFs are on that western side, so that could be limiting. Bear in mind, those wells are still very economic, those SRLs, and when you factor in the incentives that we're getting for that, it makes it very attractive for us to do those also.
William J. Cassidy - Chief Financial Officer & Executive Vice President: Hey, David.
David A. Deckelbaum - KeyBanc Capital Markets, Inc.: Yeah.
William J. Cassidy - Chief Financial Officer & Executive Vice President: It's Bill. So just to make an additional comment. As Tony mentioned earlier, we're going to have a CPF constructed by Meritage in the course of 2016 up in our northern acreage. And we've spoken a lot about the contiguous nature of our acreage up in that area and the fact that a lot of our acreage up there is basically ready for XRLs. So, we're pretty excited now about having a CPF up there which will allow us to start bringing a lot more extended reach laterals online as we go beyond the two pads that Tony – or seven or eight well pad – that Tony spoke about earlier.
David A. Deckelbaum - KeyBanc Capital Markets, Inc.: Okay. I appreciate the color. Just one point of clarification, the $200,000 uplift for the increased sand loading, that was a cost that – looks like in the slide deck that happens back in – that was the difference back in 2014. Is it fair to say, I mean, do you know what that difference is now?
Anthony G. Buchanon - Chief Operating Officer & Executive Vice President: Yeah, David.
David A. Deckelbaum - KeyBanc Capital Markets, Inc.: I think that it would be less than that. Yeah.
Anthony G. Buchanon - Chief Operating Officer & Executive Vice President: Yeah, absolutely, David. It's probably going to be around $100,000 or so for that increase on that – for today's pricing.
David A. Deckelbaum - KeyBanc Capital Markets, Inc.: That's all for me. Great execution on the deal, guys, and nice job.
Anthony G. Buchanon - Chief Operating Officer & Executive Vice President: Thanks, David.
William J. Cassidy - Chief Financial Officer & Executive Vice President: Thanks, David.
Richard J. Carty - President, Chief Executive Officer & Director: Thanks, David.
Operator: Our next question comes from Brian Corales with Howard Weil. Your line is open.
Brian Michael Corales - Scotia Capital (USA), Inc.: Hey, guys. I know the call's getting long, but I just have one question. On the Mid-Con, can you maybe just talk about what we can expect over the next six months? I think Bill you said you weren't, it wasn't a rush to sell. I mean, is there going to be a data room open? Can you maybe just talk towards that?
William J. Cassidy - Chief Financial Officer & Executive Vice President: Brian, as I mentioned, it's held-for-sale. We had a couple of folks come in, throw some numbers in. We'll go through a thorough process and if we get an attractive price, we'll execute on that. I think, as I said earlier, the focus, 99% of our questions, whether we're on this call or whether we're on the road is related to our Wattenberg field. And we want to make sure that if we're not getting the value recognition in our Mid-Con asset in our stock price, then maybe it's better held with someone else. So, again, we've got to make sure we get the right price as we look at that asset. So, just kind of stay tuned and we'll update you as things progress.
Brian Michael Corales - Scotia Capital (USA), Inc.: So this is not a very near term event in your estimation?
William J. Cassidy - Chief Financial Officer & Executive Vice President: You know what, with the way deals move nowadays, it could be a couple of months and it could be six months or maybe we get to the middle of next year and we decide that it's not attractive. Prices are looking a lot better. We continue to see some good recompletes in some of the work that's been done. As you saw, the production was up from Tony's remarks earlier in the Mid-Con area. So we'll make a decision as facts present themselves over the next few months and into next year.
Brian Michael Corales - Scotia Capital (USA), Inc.: Fair enough. Thanks, guys.
Operator: Our final question comes from Irene Haas with Wunderlich. Your line is open.
Irene Oiyin Haas - Wunderlich Securities, Inc.: My question, most of it has been asked, and can you remind me how much you actually have invested in your Rocky Mountain midstream assets in the last, say, 12 months?
William J. Cassidy - Chief Financial Officer & Executive Vice President: I would probably characterize that over the last, since we've put that business together, we've amassed a value of about $100 million in that entity. So, I think that's the best way to look at it, Irene.
Irene Oiyin Haas - Wunderlich Securities, Inc.: Great. It's nice return. Thank you.
William J. Cassidy - Chief Financial Officer & Executive Vice President: Okay. Thanks very much, Irene.
Operator: And that does conclude the Q&A session. I will now turn the call back over to Richard Carty for closing remarks.
Richard J. Carty - President, Chief Executive Officer & Director: Well, thank you for all your engagement today. We look forward to your Q&A and any follow-up questions that we can be helpful with. And from that point on, we will sign off from here. Thank you very much.
Operator: Thank you. Ladies and gentlemen, that does conclude today's conference. You may all disconnect and everyone have a great day.